Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Myers Industries 2020 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session [Operator Instructions] I would like to now hand the conference over to your speaker today, Monica Vinay. Please go ahead.
Monica Vinay: Thank you. Good morning and welcome to Myers Industries third quarter 2020 earnings call. I'm Monica, Vinay, Vice President of Investor Relations and Treasurer at Myers Industries. Joining me today are Mike McGaugh, President and Chief Executive Officer and Dan Hoehn, Interim Chief Financial Officer. Earlier this morning, we issued a news release outlining the financial results for the third quarter of 2020. If you've not yet received a copy of the release, you can access it on our website at www.myersindustries.com. It's under the Investor Relations tab. This call is also being webcast on our website and will be archived along with the transcript of the call shortly after this event. Before I turn the call over to Mike, I would like to remind you that we may make some forward-looking statements during the course of this call. These comments are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based on management's current expectations and involve risks, uncertainties and other factors, which may cause results to differ materially from those expressed or implied in these statements. Further information concerning these risks, uncertainties and other factors is set forth in the company's periodic SEC filings and may be found in the company's 10-K and 10-Q filings. I am now pleased to turn the call over to Mike McGaugh.
Mike McGaugh: Good morning. Thank you for joining us. I'd like to start the call by expressing my sincere appreciation to our entire Myers team for their continued efforts during the pandemic. Our customers count us to deliver value-added high quality products in the safe and timely manner in your efforts remain critical to ensuring that happens. Thanks to your dedication and hard work, especially from the team at our Scepter business, we were able to deliver sales and operating results during the third quarter. There were an improvement over the last year and better than we had originally anticipated. Thank you, Myers teammates for job well done. Now if you'll turn to slide three of the presentation, we'll share an overview of third quarter of 2020. In short, we had a great quarter. I am pleased with our results, our direction and our progress. We still have a lot of work to do, but I'm excited about Myers performance in third quarter. Sales in our consumer end market increased significantly year-over-year as a result of higher demand for our fuel containers which is due primarily to heightened storm activity. We're also encouraged by the continued increase in demand that took place in our auto aftermarket business. In addition, demand for RV Products in our vehicle end market also continued to stay strong. Our businesses delivered gross margin expansion again this quarter. Gross profit margin increased 400 basis points, 35.6% for the third quarter of this year. This was due to solid execution in favorable price cost margin. As a result of the gross margin expansion, our adjusted operating margin increased 500 basis points to 11.8%. And our adjusted EBITDA margin increased 370 basis points to 14.8%. We generated solid free cash flow of $16.2 million during the third quarter and as a result we had $84 million of cash on hand as of September 30th. We also had $194 million available under our credit facility and our debt to EBITDA ratio was only 1.1 times. As a result, I feel very comfortable that we have more than enough liquidity and flexibility to execute on our new strategy that I will discuss later in the call. Before I turn the call over to Dan. I'd like to thank him for stepping in as Interim CFO. He is doing a great job and I appreciate all of his efforts and hard work. And with that, I'll turn it over to you, Dan.
Dan Hoehn: Thanks, Mike, and good morning everyone. Please note that all numbers in the presentation reflect continuing operations. Please turn to slide four. Net sales for the third quarter were $132 million, an increase of 5% compared with the third quarter of 2019. The increase in sales was due primarily to significantly higher fuel container sales in our consumer end market driven by hurricane activity. We also increased our auto aftermarket sales both from stronger and market demand in our legacy business and from incremental sales due to the Tuffy acquisition. Gross profit margin increased 400 basis points to 35.6%. This was primarily due to higher sales volume and favorable price cost margin. Also gross profit in 2019 included a $3.5 million charge for estimated product replacement costs. Our adjusted operating income increased 83%, the $15.6 million for the quarter. This was the result of higher gross profit margin coupled with lower depreciation and amortization. Adjusted EBITDA increased 40% to $19.6 million and adjusted EBITDA margin was 14.8%. Adjusted diluted EPS was $0.30 compared with $0.15 for the third quarter of 2019. Now let's turn to slide five for an overview of our performance by business segment in the third quarter. In the Material Handling segment, net sales increased 3%. Sales of fuel containers in our consumer end market were up nearly 40% primarily as a result of increased storm activity. However, food and beverage market sales were down high single digits due to lower seed box volume year-over-year. Sales to our industrial end market decreased mid single digits due to lower sales to industrial distributors, partially offset by higher e-commerce sales. Sales in our vehicle end market were down double-digits as higher sales to RV customers were more than offset by lower sales to automotive OEMs. Material Handlings adjusted operating income was up 59% to $16.5 million due to higher sales volume, lower depreciation and amortization expense and favorable price cost margin. Also in 2019 adjusted operating income included a $3.5 million charge for estimated product replacement costs. In the Distribution segment, sales increased 10% due to $2.9 million of incremental sales from the August 2019 Tuffy acquisition, and higher domestic sales in the legacy business. Distribution's adjusted operating income increased 41% to $5.1 million primarily as a result of higher sales volume and lower SG&A expenses. Turning to slide six, I'll review our balance sheet and cash flow. For the third quarter of 2020, we generated free cash flow of $16.2 million compared with $22.1 million last year. Working capital as a percent of sales at the end of the third quarter was 9.2%, which was up compared to Q3 of last year but was lower than last quarter. The year-over-year working capital increase was primarily due to higher accounts receivable and inventory balances due to strong sales in September and strategic investments in inventory that we made earlier in the year to protect our supply chain during the pandemic. We have already begun reducing inventory balances and expect working capital to return to more normal levels by the end of the year. Cash on the balance sheet at the end of the third quarter was $84 million and our debt to adjusted EBITDA ratio was 1.1 times, which is consistent with previous quarters. Next, let's turn to slide seven for our updated full year 2020 end market outlook. Before we begin, please note that this outlook is based on current and projected market condition and there is still uncertainty around these projections. Starting with our consumer end market, the increase in demand during the third quarter was even greater than we had anticipated due to heightened storm activity. As a result, we now expect a full year sales increase in the double-digit range in this market, which is an improvement from our previous outlook of a mid single-digit increase. That said, we do not expect the increased demand we experienced in the second and third quarters to continue into the fourth quarter. Instead, we expect sales volumes in the consumer end market to return to more historical fourth quarter of level. In our food and beverage end market, we now anticipate a revenue decline in the mid-teens for the full year of 2020. Although, we expect see box sales to increase year-over-year in Q4, we don't expect demand to be as high as we originally forecasted. And as a result, we expect the seed box sales will be down for the full year of 2020. Additionally, annual sales to food processing customers are expected to be lower year-over-year due to impacts from COVID-19 including delayed product trials. Turning to our vehicle and market while RV demand has improved. We do not anticipate that the higher sales in that portion of the market will offset the decrease in sales year-over-year, the automotive OEM customers. Therefore, our outlook for the vehicle end market is unchanged. With sales expected to be down double-digits for the full year 2020. In our industrial end market, the soft demand environment and industrial manufacturing and distribution is expected to continue through the remainder of the year. Signs of end market improvement that we saw late in the second quarter subsided during the third quarter. Therefore, we have lowered our industrial end market outlook to be down in the mid-teen percentage range for the full year of 2020. Finally, in our auto aftermarket, we have seen demand continue to improve and are now forecasting sales to increase in the low single digits, which is an improvement from our previous outlook of a low single digit decline. Turning to slide eight, you can see our guidance for 2020. On a consolidated basis, we now anticipate full year sales to decline in the low to mid single digit percentage range, which is a slight improvement from our previous expectation of the decline in the mid to high single digit range. We continue to expect depreciation and amortization to be approximately $21 million. Net interest expense to be approximately $4 million, a diluted share count of approximately $36 million shares, and capital expenditures to be roughly $15 million. Lastly, we anticipate that the adjusted effective tax rate will be approximately 26%. With that, I'll turn it back over to Mike who will outline our strategy.
Mike McGaugh: Thanks, Dan for your review. Now I'd like to talk to our new long-term strategy in the strategic pillars we have in place to drive its execution. Please turn to slide nine. We've developed a long-term strategy that's broken down into three discrete horizons. Each of these horizons builds on the preceding one. The first phase, which we call Horizon one consists of three approaches, self-help, organic growth and bolt-on M&A. Self-help will focus on purchasing, on pricing and on SG&A optimization. In purchasing, as an example, we are centralizing procurement. In the past, each of our business units purchased their own products. So we had multiple units buying their own versions of a similar raw material. We didn't consolidate our buy and leverage. We're changing that approach. We're now consolidating purchasing into a single function, and we'll leverage procurement company wide. As a result, we've greater leverage with our suppliers and expect to lower our cost. A key objective of self-help is to improve our margins by driving a greater wedge between our raw material costs and our product sales prices, centralized purchasing will address our raw material costs. On the pricing side, we will be using pricing and data analytics to determine where and how we can improve our pricing. I believe an enhanced focus on pricing will help identify areas of opportunity for Myers to better capture the value, our products deliver to our customers. Next is SG&A optimization. Over the coming months, we will continue to move forward with the one Myers approach, combining key elements of the company together so that were stronger, more efficient and more effective. Over time, we will reorient some of our SG&A resources, prioritizing sales, product and market management and innovation. As an example, we will reduce our overhead costs, and we will redeploy these dollars into our sales function, increasing our number of salespeople. The self-help measures will drive profits and will fund our organic growth and bolt-on M&A opportunities. On the organic growth side, we will strengthen our commercial capabilities. We've developed a roadmap to bolster and improve our commercial function. This has been a key area of focus since I joined Myers. While we still have a lot to do in this space, I'm encouraged by what I see so far. Going forward, we will go to market as one company, one Myers. As one Myers, we will bring solutions that are based on all of our current capabilities, rotational molding, blow molding, injection molding and thermoforming. Having this full set of capabilities is a differentiator in the market. Instead of separate sales teams for each business unit, we were just selling one technology. Now our sales force will bring all of Myers technologies to the market. This new approach will turbo charge our organic growth efforts. In addition to the self-help and the one company approach and other big changes, our approach to bolt-on M&A. We will now focus our efforts in deal flow on building our plastics business. We will focus on deals that are close to home in terms of technology and markets. This is a change from the past. Now when we think about M&A, we plan to build on our current technologies in expertise in plastics molding. While we are strong in plastics - we are strong in plastics, we have good brands, and we are Number one or Number two in the areas where we participate. Going forward, we will embrace our polymers heritage and we use bolt-on M&A to expand our offering and plastics molding. Speaking of M&A, I would like to provide a short update on the Tuffy acquisition. It's been just over one year since we purchased Tuffy Manufacturing and combined it with our Myers Tire supply business. We purchased Tuffy for the right price at the right time. We integrated smoothly and efficiently and as a result is performed above our expectations. In order to ensure that we successfully integrate future acquisitions that will likely be larger and more complex than the Tuffy acquisition. We brought on Dave Basque, who had many carve outs in integrations to Dow [ph]. Dave is putting in place a robust process to successfully integrate future acquisitions. Over the next quarter, I expect us to share proof points on this part of our strategy. We believe that by executing on the strategy under Horizon one, we can grow Myers to a billion dollars in annual revenue and our target is to be at that run rate by the end of 2023. Now I would like to speak to the second step, Horizon two. Horizon two will be built from the profits generated from successful execution of Horizon one. Horizon two will continue to include the self-help initiatives, organic growth initiatives and bolt-on M&A. However, in Horizon two, we shift gears and we'll begin executing larger enterprise level acquisitions. We will continue building and growing in the plastics and polymer space. We just execute at a greater scale. We'll continue to focus on specialized value-added products and stay away from commodity products just as we do today. The experience we gained from completing the bolt-ons and Horizon 1, will prepare us to successfully execute larger acquisitions under Horizon two. In addition to the enterprise level M&A and Horizon two, we also expect to be in a position to grow in adjacent technologies. As examples, we may build out the unique capabilities we have in thermoforming or in rubber processing or metal fabrication. As it stands today, we have a small presence in each of these. And it appears we have meaningful organic growth opportunities to build them out. Our long-term vision concludes with Horizon three which is geared around going global. I can see a path to grow Myers to approximately $2 billion in revenue while largely staying in the United States. However, to grow beyond that threshold and into Horizon three, we will likely need to expand globally via M&A. Although, this is a few years off, it's important to have the vision in the direction for the company, in order for Myers to reach its full potential, we will need to go global and expand in own risk attractive countries outside of the United States. On the organic side of Horizon three, we plan to further build on our Plastics backbone, but also evaluate expansion into other substrates. An example would be metal substrates and there'll be more to come there. I ask you to turn to slide 10, so I could speak to the discipline and focus with which we will execute. Our roadmap for execution includes our strategic objective, as well as four supporting pillars. Our strategic objective is to transform the Material Handling segment into a high growth customer centric innovator of engineered plastic solutions. While at the same time, we continue to optimize and grow the distribution segment. Myers is in a great position. We have excellent technologies and products in the material handling side and we have deep industry knowledge and experience in a strong foundation on the distribution side. Make no mistake, our company's future is bright, our runway is long and I can't think of anywhere else I would rather be. We have four pillars that are simple and clear and we'll drive execution. They are organic growth, strategic M&A, operational excellence, and high performing culture. These four pillars are the cornerstones of Myers transformation and will ensure we successfully deliver the goals and objectives of Horizon one. The first pillar focuses on organic growth and we will address four areas, sales and commercial excellence, innovation and new product development, sustainability, and e-commerce. These four areas are clear priorities of Myers and are the primary levers to drive organic growth. Speaking of sustainability, we recently announced, we've joined the alliance and plastic waste. A global non-profit organization committed to ending plastic waste in the environment. Our focus on sustainability will help drive innovation and our long-term growth. We are proud to be a part of the alliance and look forward to helping shape future projects that recover create value from and ultimately eliminate plastic waste. Our second pillar strategic M&A is geared around bolt-on opportunities that build on our Plastics franchise. Part of this effort is our integration playbook that will ensure a world-class approach to acquisition integration. The third pillar operational excellence is part of the Myers D&A, part of the Myers foundation and we will build on it. We will continue to have a mindset of continuous improvement and we will build out the functions of pricing, purchasing, and sales and market management into our core capabilities. The fourth and final pillar is the heart of the company, our culture. We will build a high performance mindset in culture. A key tenet of our culture will be our focus on safety. We have a good safety record but must work to get better every day. Talent development will be a priority as well. We will develop our talent in-house, through the creation of continuing education, learning academies and on the job training. We can achieve greatness, without being an employment - employer of choice. To that end, we must build our culture in three important areas, inclusion, servant [ph] leadership and community involvement. In future presentations, I will provide a report out on our progress on each pillar. I'll close here and I'll share with you my confidence and excitement on our new direction. We have a strong plastics business with a broad suite of technologies and expertise. We’re now focused on building this engine in growing its scale organically and through M&A. In addition, we have a well-regarded industry leading auto aftermarket distribution business with a promising outlook. I could not be more excited to lead this company today and into the future. With that, I'll turn it back over to Monica.
Monica Vinay: Thanks, Mike. Duane, we're now ready to take questions.
Operator: [Operators Instruction]. Your first question comes from the line of Tim Wojs from Baird. Your line is now open.
Tim Wojs: Nice job, and thanks for all the details.
Mike McGaugh: Hey, Tim. Thank you.
Tim Wojs: Maybe just starting with the long-term vision here. I guess I'll start off with a three-part question. You've laid out $1 billion revenue target by 2023, which I think, on the surface, looks pretty ambitious. So I guess first, how would you kind of think of the mix there between organic and M&A, and just how committed are you to actually getting to that number over that timeframe? And then lastly, will you need to - it sounds like you'll be able to kind of self-fund the investments, but I just wanted to kind of to run through that a little bit?
Mike McGaugh: Yeah, Tim. So just to clarify, what I said was $1 billion run rate at the end of 2023. And I agree with you, it's an ambitious club. But I would look at it, run rate at the end of 2003. The split, I would say, give or take three quarters will be M&A, one quarter will be organic ballpark. And what was the other question?
Tim Wojs: Just in terms of the investments on the organic side to kind of get there, and maybe some of the M&A investments you'll have to make. I mean, it sounds like that'll be self funded through kind of SG&A overhead reductions, but I just wanted to verify that.
Mike McGaugh: That's correct, that's correct. On self-help side, there's some room to run there. And also, like I said, is not only driving that wedge on the price side in the procurement side, but also reallocation - reallocating some of that SG&A, trimming our overhead and redeploying that into salespeoples, the example I gave.
Tim Wojs: Okay. Is there a way to quantify or frame what centralizing procurement might be able to generate for you guys? Just to try to frame it for us.
Mike McGaugh: Well, look, let me - I'll look to Dan to see if he wants to give any specific advice. What I can tell you is when oftentimes, we had four or five businesses buying very similar raw materials, and it was on subscale. I think it was a great deal for our suppliers, but it probably wasn't the best deal for Myers. And so bringing that together, consolidating and negotiating it aggressively should finally unlock a lot of value. But let me ask Dan for any specifics.
Dan Hoehn: I think it's a little early to give savings targets as we work through it. But we do see a lot of opportunities as we look across the different businesses and acting as a single company.
Tim Wojs: Okay. And then on the M&A side, it does sound like the pipeline's pretty actual at this point. Likely we could actually see something here by year-end. You think kind of early on in this vision, it'll be kind of more bolt-on versus larger deals? And how would you kind of describe valuation in the M&A market right now?
Mike McGaugh: Well - let me see back and unpack it a bit. Yeah, so now that we're focused on plastics and building up the plastics. Not to day, on the auto aftermarket side as the deal came through and it was the right deal and the price was attractive. Of course, we look at that, but really our focus is more on the polymer side and building out - building some scale into these technologies. Our pipeline is good. The valuations - we won't do any deal that is not accretive, and most of the deals that we're looking at have a strong component of cost and growth synergies. So I feel very confident that there'll be value-creating for our shareholders. What was the - any additional question?
Tim Wojs: Yeah, just valuation. But I mean, you kind of answered it with the...
Mike McGaugh: Yeah. So, Tim, on the bolt-on side, look, Tuffy went well. It has exceeded our expectations. We're real pleased with how Tuffy went. What I'd like to do is step that up in size, get some larger deals on the manufacturing side. And ideally, I'd see two to four deals there over the next year to 18 months. And I think we will really fine-tune ourselves with regard to integration excellence. I want to bring some of those skill sets from my past companies into Myers, we're doing that. And then I think we could look to even larger deals, but that'll be more of a Horizon two exercise.
Tim Wojs: Okay. Okay, great. I'll hop back in queue. Thanks for the color today guys, I appreciate it.
Mike McGaugh: Thanks, Tim. Appreciate it.
Operator: Your next question comes from the line of Lance Vitanza from Cowen and Company. Your line is now open.
Lance Vitanza: Hi, guys. Congratulations on the great quarter. So a couple of questions. Maybe just to sort of follow on regarding Phase one of Horizon, and I appreciate that 75%, 25% split in terms of M&A versus organic to get to that $1 billion run rate by the end of 2023. So that suggests that you're going to buy roughly $375 million worth of revenues. You're trading at around one times sales-type multiple, you said that you won't do a deal that's not accretive. So, if we assume, sort of you're paying a little bit better than a little bit less than one times, that's about 300. And so should we think about $350 million to $400 million as kind of what you are going to deploy toward M&A over the next few years? Is that fair?
Mike McGaugh: That may be a little heavy, but let me ask Dan to comment.
Dan Hoehn: I think that strikes me as slightly heavy, but we're going to look at the deals. And if the right deal is out there, right? We'll see what we can do.
Lance Vitanza: Okay…
Mike McGaugh: Go ahead, sorry.
Mike McGaugh: I just want to say, there are a number of independents and owner-operated plastics technologies companies that the ownership is aging, looking for liquidity, opportunity, and would prefer not to sell the private equity. And so we were actually getting good traction in the market as a strategic buyer at fair prices, so I'm excited about the upside there.
Lance Vitanza: So in the meantime, now you swung to a net cash position in the quarter, and I'm wondering, is there an opportunity to prepay some of your outstanding notes and then just avoiding the negative carry in the near term?
Mike McGaugh: Yeah, I'll let Dan.
Dan Hoehn: So our notes are private placement. So we intend to pay this off in the normal course.
Lance Vitanza: Okay. Okay, any update on the CFO search?
Mike McGaugh: Yeah, Lance, so I can say Dan stepped in, he's doing a real fine job. We've got to retain national firm. We're vetting a number of candidates, our interviews start next week.
Lance Vitanza: Okay. And then is the - given the M&A outlook, is that basically - does that sort of suggest that we should not be thinking about an increase in the dividends any time soon?
Mike McGaugh: For sure I'll tell you that the dividend, as I've said before, is sacrosanct. It's important to us and it's important to me. On increasing the dividend, I don't want to comment at this point.
Lance Vitanza: Okay. And then lastly for me, just in terms of the bolt-on M&A, could you give me an example into the kind of non-commodity products that you don't currently sell that you could potentially add to the portfolio?
Mike McGaugh: Yeah, well, I would say it, you continue to look at blow molded, injection molded, roto molded devices, tanks products. I like the products that are big and bulky, and immune largely from overseas competition. I like the products that are - I call them semi-specialty or value-added, that there is some level of difficulty in the fabrication. And so the barrier to entry is centered around process know-how rather than just the press configuration. And so those are the types of products we seek is, rather not single use blow molded bottles, Lance, but some level of technology know-how in capability so that there is some level of a competitive moat. Those are the products we currently have. We currently do well with them and I want to build on that area.
Lance Vitanza: Okay, thanks guys. I appreciate your time.
Mike McGaugh: Thanks, Lance.
Operator: [Operator Instructions] Your next question comes from the line of Carl Schemm from KeyBanc Capital Market. Your line is now open.
Carl Schemm: Hey, good morning. And congratulations on the quarter, everyone.
Mike McGaugh: Thank you.
Carl Schemm: Just wanted to dig in on some of these pretty big shifts in the way end markets are kind of trending here. So maybe I'll just start with, obviously, the fuel container sales with the storm activity, just curious - and the timing of that, did any of that carry into the fourth quarter? Is that just purely 3Q impact? What's kind of the dynamic there?
Mike McGaugh: Yeah. So we're looking at that as a Q2 and Q3 activity. It really follows along with the storm activity. So, while we did just have a storm in the Gulf, it's a little early to tell how much impact there was. Typically, in the fourth quarter, the flow-through is a little less.
Carl Schemm: Okay. Great, that's helpful. And then, I'm putting beverage, pretty big shift there, and what you're kind of looking at for seed box. Can you just maybe give some more color on what maybe changed there? And I think you have mentioned in the past, seed box is sort of mix tailwind, larger - higher margin, gross margin area. Is that - how does this impact kind of how you're thinking about gross margin 4Q and 1Q of '21?
Mike McGaugh: So we don't typically get a lot of visibility into our seed box demand until the end of the third quarter. And so, while we still expect it to be greater than last year, it's less than we were originally forecasting. So you can see our updated guidance there.
Carl Schemm: Okay. Great. Sure, okay. And then, just last one on me, I kind of wanted to follow up on the M&A discussion here. I'm just curious, I'm sorry if I missed it, but do you have sort of a net debt to EBITDA that you're kind of willing to stretch to in the near term if you're considering some more bolt-on side?
Mike McGaugh: Yeah, Carl, our objective is to stay below three times. If we needed to crank up temporarily, we could do that. But really, that's longer terms, three times.
Carl Schemm: Okay. Thanks, that's all for me.
Mike McGaugh: Thank you. Thanks, Carl.
Operator: There are no further questions at this time, I'll turn the call back over to the presenters.
Monica Vinay: Thank you. We'd like to thank all of you for your interest in Myers Industries and for your time and participation today. As a reminder, a transcript of this call will be available on our website within approximately 24 hours. A replay will be immediately available via webcast or call. Details can be found on our website under the Investor Relations tab. Thanks, and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.